Executives: Ruth Ann Wisener - Vice President of Investor Relations Patricia A. Woertz - Executive Chairperson, Chief Executive Officer, President and Chairman of Executive Committee Ray G. Young - Chief Financial Officer and Senior Vice President Juan R. Luciano - Chief Operating officer, Executive Vice President and Member of Risk Management Committee Craig E. Huss - Chief Risk Officer, Senior Vice President and Chairman of Risk Management Committee
Analysts: Kenneth B. Zaslow - BMO Capital Markets U.S. David Driscoll - Citigroup Inc, Research Division Christina McGlone - Deutsche Bank AG, Research Division Robert Moskow - Crédit Suisse AG, Research Division Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division Lindsay Drucker Mann - Goldman Sachs Group Inc., Research Division John E. Roberts - The Buckingham Research Group Incorporated Ann H. Gurkin - Davenport & Company, LLC, Research Division Christine McCracken - Cleveland Research Company Ian Horowitz - Topeka Capital Markets Inc., Research Division
Operator: Good morning, and welcome to the Archer Daniels Midland Third Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference call, Ms. Ruth Ann Wisener, Vice President, Investor Relations for Archer Daniels Midland Company. Ms. Wisener, you may begin.
Ruth Ann Wisener: Thank you, Kristy. Good morning, and welcome to ADM's Third Quarter Earnings Conference Call. Before we begin, I'd like to remind you that we are webcasting this presentation on our website, adm.com. The replay will also be available at that address. For those following the presentation, please turn to Slide 2, the company's Safe Harbor statement, which says that some of the comments constitute forward-looking statements that reflect management's current views and estimates of future economic circumstances, industry conditions, company performance and financial results. Statements are based on many assumptions and factors, including availability and prices of raw materials, market conditions, operating efficiencies, access to capital and access of -- actions of government. Any changes in such assumptions or factors could produce significantly different results. To the extent permitted under applicable law, the company assumes no obligation to update any forward-looking statements as a result of new information or future events. Please turn to Slide 3. On today's call, our Chairman and Chief Executive Officer, Pat Woertz, will provide an overview of the quarter. Our Senior Vice President and Chief Financial Officer, Ray Young, will review financial highlights and corporate results. Our Executive Vice President and Chief Operating Officer, Juan Luciano, will review our operations and outlook. Ray will discuss some upcoming changes in our financial reporting. And then, Craig Huss, our Senior Vice President and Chief Risk Officer, will join Pat, Ray and Juan during the question-and-answer portion of the call. Please turn to Slide 4. I will now turn the call over to Pat.
Patricia A. Woertz: Thank you, Ruth Ann, and welcome, everyone, to our third quarter conference call. This morning, we reported third quarter net earnings of $399 million or $0.60 per share on a fully diluted basis. Our adjusted EPS was a solid $0.78 per share. Segment operating profit was $887 million.  We delivered very good results this quarter, despite difficult margin environments, particularly in ethanol and European oilseeds. The strong third quarter last year set a high bar and this quarter represents a solid performance by the ADM team. In the quarter, we continued our efforts to drive shareholder returns. With Wilmar, we finalized our partnership agreements in fertilizer, ocean freight and European tropical oil refining. These are subject to regulatory approval. We began and have substantially completed our global workforce restructuring. We now expect this, combined with other efforts, will result in an annual cash run rate savings in excess of $150 million, up from our prior estimate of $125 million. And we returned $171 million to shareholders this quarter, buying back nearly 2 million shares. Looking ahead, planting is underway in North America and we are encouraged by the projected corn and soybean acreage. Meanwhile, we will continue to deliver our global origination processing and transportation network to deliver products to our customers and returns to our shareholders. As Ruth Ann mentioned, before we take your questions today, Ray will discuss a few important changes regarding some of our accounting and reporting. And now, I will turn the call over to Ray.
Ray G. Young: Thanks, Pat, and good morning, everyone. Slide 5 provides some financial highlights for the quarter, which I'll run through briefly. As Pat noted, segment operating profit was a solid $887 million, down from last year's very strong result of $1 billion. Quarterly net earnings were $399 million, down 31% from last year's third quarter.  Looking at our effective income tax rate fourth quarter, we recorded taxes at 29%, resulting in a cumulative rate of 30%. We continue to believe that 30% is a good estimate for the fiscal year. Our earnings per share were $0.60 on a fully diluted basis compared to last year's $0.86. Adjusting for specified items, including LIFO, ADM earned $0.78 per share compared to last year's $0.89 per share.  On Chart 19 in the Appendix, you can see the reconciliation of reported earnings to adjusted earnings for the third quarter of fiscal year '12 to fiscal year '11. In our standard LIFO adjusted, 4-quarter trailing ROIC of 5.6% was below our WACC by 50 basis points. Excluding other specified items, our adjusted ROIC of 6.9% was above our WACC by 80 basis points. Slide 6 provides an operating profit summary and the components of our corporate line. Juan will talk about the business segments’ results in his update. Let me touch on a few items of significance in the corporate line. I touched upon LIFO earlier, market prices for our LIFO-based inventories rose in the third quarter, resulting in a charge of $107 million compared to a charge of $43 million last year. Our interest expense is lower due to lower interest rates and lower debt levels. Unallocated corporate costs include the $74 million of restructuring charges, mainly related to our global workforce reduction. Excluding this charge, corporate costs are down year-over-year. Turning to the cash flow segment on Slide 7, we generated $1.9 billion in cash from operations before working capital changes in the first 9 months of 2012, compared to $2.2 billion in the same period last year. Working capital was a source of cash to us of about $300 million. This includes approximately $1 billion of cash generated from the sale of trade receivables executed during the quarter. Last year, working capital was a significant use of cash of almost $7 billion.  We made capital investments of $1.2 billion in the first 9 months of 2012. In addition, we spent $239 million in acquisitions of assets. We're on track to spend to our combined target of capital spending and acquisitions of approximately $1.7 billion for this fiscal year. Our net debt decreased by about $100 million during the first 9 months of the year. For the quarter, we returned $171 million to shareholders in the form of dividends and share buybacks. For the first 9 months, we returned $822 million.  In this quarter, we bought back 1.9 million shares, bringing our fiscal year repurchases to 17 million shares. Of the 44 million shares issued in June 2011 related to the equity unit conversion, we have already bought back, to date, 29 million shares. We expect our average shares outstanding for this fiscal year to be approximately 665 million shares. Slide 8 shows the highlights of our balance sheet. Third quarter cash on hand was approximately $1.2 billion. Our operating working capital was about $15 billion, of which $13 billion was inventories. Total debt was about $10 billion, up slightly from the level at the beginning of the quarter. Total shareholders’ equity stood at about $18.5 billion.  We had $1.2 billion outstanding in commercial paper, and we had available credit capacity of $3.1 billion in U.S. commercial paper and $1.6 billion in other global credit lines. I also want to note that of the $13 billion of inventories, about $9 billion is readily marketable.  We believe this strong balance sheet continues to provide us with financial flexibility to manage our business in volatile markets and continue to invest for a profitable growth. Next, Juan will take us through an operational review for the quarter. Juan?
Juan R. Luciano: Thanks, Ray. Good morning to everyone in the call. Beginning on Slide 9, I will take you through the highlights of each of our business segments; then I will provide our current assessment of market conditions and their implications for ADM. In Oilseeds Processing, our operating profit in the third quarter was $395 million, down $117 million from the same period last year. Last year's third quarter included significant timing gains. Excluding these gains, this year's results were comparable to last year's good results. We also saw sequential improvements in our profits over the course of this fiscal year from an improving margin environment, stronger demand for North American meal and origination opportunities in South America. Crushing and origination operating profit was $271 million. Improved results in North and South America were more than offset by continued weakness in Europe. Tight South American crop supplies led to increased soybean meal exports from North America. And in South America, favorable positioning and increased farmer selling due to higher crop prices and favorable exchange rates led to good grain origination results. Refining, packaging, biodiesel and other generated a profit of $75 million for the quarter, down $14 million in weaker biodiesel results from North and South America. Oilseeds results in Asia for the quarter were up $31 million over the prior year's third quarter, principally reflecting ADM's share of the results from our equity investee, Wilmar International Ltd. And as Pat mentioned, this quarter, in oilseeds, we finalized partnership agreements with Wilmar in fertilizer, ocean freight and European tropical oil refining. We are working together with Wilmar to prepare for implementation in tropical oils and fertilizers. And in ocean freight, we're contributing our vessels and expect the venture to be operational in May. Please turn now to Slide 10. As you see, corn processing operating profit was $130 million, a decrease of $74 million from the same period last year. Sweeteners and starches operating profit increased $47 million to $93 million. Export demand for sweeteners remained strong, and average selling prices rose as new sweetener contract came into effect through the quarter.  BioProducts results in the quarter decreased $121 million to $37 million. Ethanol margins remained weak through the quarter amid excess industry production that lessened through the quarter. Results also reflect the $14 million charge related to the closure of ADM's 30 million gallon per year ethanol dry mill at Walhalla, North Dakota. There was also a recovery of $4 million of PHA-related inventories. That's why you see $10 million in restructuring and other exit cost in the bar graph. Turning to Slide 11, you will see a review of our ag services segment. Operating profit was $179 million, up $8 million from the same period a year ago, and consistent with our recent historical quarterly range of $150 million to $200 million. Merchandising and handling earnings were stable. ADM's Black Sea and other international merchandising operations saw good volumes and margins, while North American grain export volumes were down due to low U.S. crop inventories. Earnings from transportation operations rose $7 million. On Slide 12, you can see highlights from our other businesses. In the third quarter, profit from ADM's other businesses was $183 million, up $64 million from the same period one year earlier. Excluding net timing effects, the results in other were comparable to last year's results. In other processing, profits rose $105 million to $201 million. Cocoa results this quarter were impacted by $72 million in mark-to-market net timing gains. The underlying performance in cocoa remained strong, driven by good cocoa press margins. Wheat milling results, including ADM's share of Gruma, were essentially flat. Other financial declined $41 million to a loss of $18 million due to losses at ADM's captive insurance subsidiary related to crop risk and property reserves. Turning to Slide 13, we want to provide some perspective on current market conditions and their implications for ADM. The South American harvest, while smaller than expected, is improving global soybean supplies as it comes onto the market. That is also reducing demand for meal exports from the U.S., pressure in margins and reducing run rates there. Longer term, global protein meal demand continues to grow and improved capacity utilization should strengthen industry margin structure over time. We're managing our regional processing capacity to better align supply and demand. In corn processing, poor ethanol margins led to reduced industry production. This has driven a better balance of supply and demand, which should help industry margins. Strong demand for our corn wheat milling portfolio, led by exports of HFCS, has led to good capacity utilization and we expect to see that continue. While farmers in the U.S. are planting expanded corn and soybean acreage, global supplies of those crops should tighten through the North American harvest. And in wheat, we see an ample global supply. As we move into the summer growing season, ADM will have to carefully manage through the tight supply and commodity price inverse. Now, I will turn the call back to Ray.
Ray G. Young: Thanks, Juan. As you know, we announced in March a realignment of how we manage our businesses. I want to explain how we will be reporting our segments going forward to line up with how we're managing our businesses. Going forward, we will report cocoa results as part of a new category in Oilseeds called Cocoa & Others. This category will include our cocoa processing results, as well as the results from our Peanut business and our Cellulose business. In ag services, we will have a new category called Milling & Other. This category will include the results of our Milling businesses, as well as the results from Alliance Nutrition, Edible Beans and our investment in Gruma.  Our Other reporting segment will continue to include the results of ADM Investor Services in our captive insurance operations. Also starting in the fourth quarter, we will move working capital interest expenses from the business segments to the corporate line. Currently, this interest expense is spread among the business units and corporate. This approach is consistent with many other companies. This will effectively move about $20 million to $30 million of interest expense per quarter from the segment operating profit to the corporate expense line. Lastly, I want to highlight an important change we plan to make relating to fiscal year reporting. As you know, we currently have a June 30 fiscal year end. This was largely driven by the U.S. crop year. As we have become a more global company, the U.S. crop year has less relevance to our financial cycle, and we have a lot more reporting on a statutory basis and tax basis that is tied to the calendar year. Also, many of our business contracts are tied to the calendar year.  Therefore, to streamline our internal processes and eliminate redundancy and waste, we plan to move to a calendar year fiscal year starting on January 1, 2013. This means that we will have a stub fiscal year from July 1, 2012, to December 31, 2012. This planned change was approved by our audit committee yesterday, and is subject to final approval by our board at its meeting on May 3. Now let me turn it over to Pat.
Patricia A. Woertz: Thank you, Ray and Juan, and before we take your questions, let me just recap. We had a very good quarter. We saw the value of our diverse global footprint; we remain focused on shareholder value; we expect upwards of $150 million in ongoing savings from our reorganization efforts; and we continue to buy back shares. And as Ray mentioned, we've had some changes in our accounting and reporting. So Craig will now join Juan, Ray and me for the Q&A. Kristy, could you please open the line for questions?
Operator: [Operator Instructions] Your first question comes from the line of Ken Zaslow of BMO Capital Markets.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Just 2 questions. One is, can you talk about the implications of the smaller South American crop on how the trade flow will be out of the U.S. over the next 6 to 12 months, the crush margin outlook for North America and how will it also affect South America?
Juan R. Luciano: Sure, Ken. Yes. This is Juan. What we see this year with the tighter South American crop is that Argentina is the largest exporter of meal. We see the supply from South America being, maybe, 15% smaller. So certainly we have seen a little bit of that -- those supplies push to the U.S., so we've been exporting a little bit more. That's why you see probably we had a little bit better margin than we expected in oilseeds. And we see in that window that traditionally now supplies shift to South America, maybe extending a little bit to the U.S. and also maybe shrinking a little bit over the summer. So we're seeing that as a positive. There may be some implications also from some of the other products in our portfolio, like cotton seeds or other of our oilseed products as people look for alternative to soybean meal. So that's what we see overall. Although it's early, we can see that already in March and April, Ken.
Kenneth B. Zaslow - BMO Capital Markets U.S.: And my second question is on the high-fructose corn syrups side of your business. The hedging, I'm assuming any sort of repercussions from last year are all done. So I'm assuming this is the final quarter that there's any sort of negative mark-to-market or anything going on. So next quarter should be the full economic results of the business.
Juan R. Luciano: That's correct, Ken. Yes.
Kenneth B. Zaslow - BMO Capital Markets U.S.: And how much was the implication this current quarter?
Ray G. Young: It's actually minimal, Ken, on this quarter in our results for this third quarter. As Juan indicated, the contracts rolled in over the course of the third quarter. And so effectively, the residual impact of all the hedging we've done last year, it’s basically washed through.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Okay. So this is actually the right run rate then in the current quarter?
Juan R. Luciano: I would say, Ken, during this quarter, we were still implementing the price increases. Some of our contracts were -- have implementations based on maybe February or late February. So I will say probably next quarter will be a true reflection of the new contract being implemented with the new prices.
Operator: Your next question comes from the line of David Driscoll of Citi.
David Driscoll - Citigroup Inc, Research Division: So wanted to just talk about E15 a little bit, Pat. And we've seen -- I don't know, there's been press articles out there recently talking about how Toyota has gas caps that they started to put on. I think last year that says it's got a big x mark through E15 and E85 on the bulk of their vehicles. And Ford publicly states that it doesn't support E15 in its legacy vehicles. What do you make of this resistance from the automakers in the adoption of E15? So that's kind of the first question on ethanol.
Patricia A. Woertz: Juan's becoming our E15 expert here so I'm going to let him remark on that.
Juan R. Luciano: David, listen, this -- I think first of all, the implementation of E15 is certainly important for us in the long term. I don't think we should see a lot of that being impacting our numbers in this calendar year. And I've been through implementations of these things in different countries. I remember I landed in Brazil when they were talking to ethanol flex fuels and all that. And you always hear all kind of concerns at the beginning. But at the end of the day, economic rationale prevails. At this point in time, with all the governments having so much budgetary issues, you have ethanol having $1 advantage over gasoline. I think it's something that implementation will happen. I think all the stakeholders in all these wants to make sure that all the Is are dotted and the Ts are crossed before they launch into these. So we're working with all the constituents through our associations to make sure everybody’s comfortable. But I think that people are bringing up issues and we try to bring some science and solve those issues to give comfort to the people. So it's a long process. But I think if you look from our previous call into this call, we made a steady progress and steps continue to be completed. So we feel that -- we continue to feel that you're going to see some E15 on gas stations probably by the summer. And probably you will see maybe a little bit more of a financial impact in the industry and our business probably in 2013.
David Driscoll - Citigroup Inc, Research Division: And then just a follow-up on ethanol. So margins, just by our calculations, continue to remain very weak. I noticed here you guys have closed a small dry mill. Do you see significant capacity closures going on this time? Can you frame up what you have been seeing industry-wide in U.S. ethanol?
Juan R. Luciano: Yes, David. We probably saw -- as you pointed out, we shut down a small plant, mostly because we want to continue to improve our competitive position. We don't think it's going to make a big dent into the industry. It was probably 1.5% of our own capacity. But I think, from an industry perspective, we've seen like probably 14, 15 plants coming down. Part of that is the maintenance, the schedule that they are in. But part of that is we believe that these plants will have difficulties getting their hands on corn for the next couple months. I think people tend to have maybe 30 days of coverage, so we expect some time in May people start running out of that. So we expect that cycle to perform like last year, in which we see this decline in margins, people having difficulty getting to old crop corn and then shut down capacity and supply and demand matches, and then we see the expansion in margins. We haven't seen that yet, to be honest. So we will see probably that later in this quarter, full effect probably next quarter.
David Driscoll - Citigroup Inc, Research Division: So June quarter’s still tough; the quarter after that maybe partially tough but improving?
Juan R. Luciano: Correct.
Operator: Your next question comes from the line of Christina McGlone of Deutsche Bank.
Christina McGlone - Deutsche Bank AG, Research Division: Just a question on the cost savings. For the $150 million for the global workforce reduction, did you realize any this quarter or does it start really in the June quarter now?
Ray G. Young: Yes, Christina. Yes, basically, we implement it over the course of this third quarter. So we'll start really seeing the benefits flow through in the fourth quarter. We won't see the full benefits until, really, March 31, 2013, because some of the reductions and retirements will occur over the course of this particular period.
Christina McGlone - Deutsche Bank AG, Research Division: Okay. But it will help the June quarter somewhat?
Ray G. Young: Yes. That's correct.
Christina McGlone - Deutsche Bank AG, Research Division: And then I think there was some confusion on the Analyst Day. With the Wilmar joint venture, I think the savings were $30 million to $40 million per year. And I wasn't -- we weren't sure if that was ADM share or the total share? And then with that, when will we start to see that?
Juan R. Luciano: Yes, Christina, this is Juan. That's probably the ADM share that we described of those savings. And that probably will happen -- that will be a run rate probably in a couple of quarters. We're still in the process of filing our approvals on all that. So we have signed with them and some parts like ocean freight has started because we have started some elements of the optimization in fertilizers, but the big chunk of it will probably take 30 to 60 days to be implemented.
Christina McGlone - Deutsche Bank AG, Research Division: Okay. And then for BioProducts in the quarter, it was better than I expected. And I'm just curious, did you make money in ethanol in the quarter or was that the lysine and other immunoacids that made up for a weak ethanol?
Juan R. Luciano: I think, Christina, ethanol margins were tough, but we always talk about the strength of our cost position and we being better than the industry, our integration. And I think the strength of our wet milling portfolio, don't forget we have also some feed specialties, some food specialties there, we have a good quarter on lysine. So all that contributes.
Christina McGlone - Deutsche Bank AG, Research Division: Okay. And then last question, just building on Ken Zaslow's. And when you talk about -- if we think about the fall and we don't have a South American tail to compete with, so you would think U.S. crush margins would improve. But given the price of soybean meal, do you think it's pricing itself out of rations? I mean how do you look at soybean meal demand even as we head into new harvest?
Juan R. Luciano: During the quarter, we actually saw good demand both for exports and domestic. I think as we saw it later in the quarter, with soybean’s rally against corn, we saw a little bit of the opposite what you are describing. So we're constantly looking at these transitions, if you will. But at this point in time into the Q4, we're still seeing probably better demand for North America than we will expect for this time of the year. So the seasonality seems a little bit better for us this year than last year, probably reflecting the weakness in South America.
Operator: Your next question comes from the line of Robert Moskow of Credit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: A couple of quick questions. One is you mentioned that you will be eliminating some redundancies by shifting to a calendar year. Can you help us quantify what those savings are and are they already in your $150 million corporate savings target? And then secondly, Europe, you mentioned Europe was weak. You just had an Analyst Day in Europe. Can you give us a sense of what needs to change in Europe in order for conditions to get better? And actually I have a follow-up on ethanol if I could.
Ray G. Young: Rob, it's Ray. For the purposes of your modeling, you can assume that some of the cost savings are already in our run rate that we provided to you. Frankly speaking, there's a lot of intangible benefits of improving processes that are not quantifiable. And then, frankly, as we implement this, we'll see other benefits flow through. But I think for your purposes of your modeling, I think it's safe just to use the run rate savings that we provided to you.
Robert Moskow - Crédit Suisse AG, Research Division: Okay. Europe?
Juan R. Luciano: I will take Europe, Rob, this is Juan. Margins continues to be under pressure in Europe as oil values remain depressed. Basically, biodiesel demand has been very low during the quarter, mostly due to extremely cold temperatures that we experience. So as result of this, the market continues to work through the oil inventories. So we expecting we're going to the fourth quarter, we're taking several measures. We're taking some of our -- we adjust some of our capacity. We have shifted part of our capacity from rapes to soy as we see soy margins, crushing margins a little bit better, since there is a smaller crop in South America offering some support there. Obviously, we can only do this for a part of our operations. And also, diesel demand is expected to rebound on weather improvement and probably increase tourism this time of the year. So we expect some improvement in margins still being tough. You know that the rapeseed crop there is at a 6-year low, if you will. So we're going to continue to see pressure in rapes -- in getting rapeseed seeds. But as I said from a market perspective, we expect a slight improvement.
Robert Moskow - Crédit Suisse AG, Research Division: And just a follow-up. I was talking to an industry participant in U.S. ethanol, and he said that his outlook for exports is a lot higher because of the values here, the corn ethanol values have come down so much and it's now more economical. Can you tell us what your outlook is for exports to Brazil and other countries?
Juan R. Luciano: Yes. We've been working, obviously, since last year on developing export programs. And they take a while; obviously, you need some qualifications and all that. We haven't seen the uptick that we wanted so far. We are still hopeful that they will improve, but we haven't seen that yet. The economic incentive is there, certainly, but there seems to be needing a little bit more than just the economic incentive for this to happen right now.
Robert Moskow - Crédit Suisse AG, Research Division: Juan, do you think total industries will be flat versus Europe or do you think it will be down a little bit?
Juan R. Luciano: I think the view is about 800 million gallons, something in that range for the year.
Robert Moskow - Crédit Suisse AG, Research Division: For this year. So down versus a year ago.
Juan R. Luciano: A little bit down.
Operator: Your next question comes from the line of Diane Geissler of CLSA.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: I wanted to get some help on the quantification of your positions in the quarter. You noted sort of a benefit in your origination in the oilseeds. And then just a little bit of clarity on the cocoa because I know in those last couple of quarters, you've had obviously a big negative mark-to-market. You regained some of that in the third quarter. I think there's probably still a little bit more to go in the fourth quarter. But if you could just help me kind on where you are position-wise, obviously without giving out your book but just kind of how it impacted your third quarter within grains, origination, within the oilseeds and then also the cocoa, that would be helpful.
Ray G. Young: Diane, it's Ray here. We did indicate that we did have some positioning, positive positioning benefits in our results. If you recall in Hamburg when we met, we provided some level of indication where we were in the quarter. As it turned out, March ended up stronger than we had thought when we met in Hamburg. And part of it is due to the fact that in South America origination, good volumes and actually some good positioning down there. We had some good positioning in North American softseeds as well. And with respect to cocoa in terms of the mark-to-market timing effect. If you recall in the last quarterly call, we indicated there was about $100 million of negative -- accumulated negative mark-to-market that would unwind over the course of the future. The net timing affect that we identified in this quarter was approximately $70 million. So if you do the mathematics, then there's still about $30 million of cumulative negative mark-to-market impacts that will unwind in the future. And again, it's going to unwind in the future, the timing to be determined, Diane.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Sure. Well it seems to me that you had been working to restructure something within that operation, the accounting around it so that it wouldn't be as volatile in the future. So I guess my question is if you think you can get it wrapped up in the fourth quarter here as we move into your next fiscal year, which I appreciate will now be a stub year, but can we expect that business line to be a little less volatile or do you have the same sort of issues going forward just is in terms of the volatility?
Ray G. Young: I guess we've made a lot of progress in terms of dampening a lot of these accounting impacts over the past year, whether it be the oilseeds timing effect, I think we've mitigated that. We've mitigated somewhat the corn hedging as well by using a lot more hedge accounting there. The last piece, frankly speaking, is this cocoa mark-to-market timing effect. And I think we're positively encouraged that come the first quarter of the next fiscal year, that we will be able to mitigate that as well. And we're still working on that, we're finalizing it. But Diane, hopefully, as we start off the new fiscal year, you won't hear me talk about mark-to-market timing effects as much or at all in terms of our future results.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Okay. And then I wanted to ask you about global meal demand. I think you've had some positive comments here, but could you talk about, in particular, Asia and then sort of what you're seeing with the North American industry, which has been sort of in caught mode now for some time. Are you starting to see some movement towards any expansion there?
Juan R. Luciano: Yes, Diane. This is Juan. Asia, we've seen China continue to have this appetite for more meal. I think imports have been up like 20% this calendar year versus last calendar year. And we've seen, as I said in my remarks, in North America, expanded demand both in exports and we've been exporting to several countries, Philippines, Poland, several countries in the first quarter of this calendar year, and also domestic demand. So I think overall, was a very good quarter from a demand perspective. And so we continue to see the global trend of 3% to 4%, whatever you want to call it. But we’re seeing that impacting North America this time.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Okay. And I guess just to the extent that we've seen a shift in the acreage base from soy into corn this year, are you concerned at all about sort of supplies in the fall on the soybean side?
Craig E. Huss: This is Craig, I'll take that. I think obviously...
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: It’s a long way to go. I appreciate that.
Craig E. Huss: Yes. We've got up to 96 million acres of corn coming. We have obviously changed the corn ratio dramatically over the last few months, and I think that you'll see some leakage to beans there. And we're 2 or 3 weeks ahead on our wheat crop. That's also dependent on how dry we are going into wheat harvest. But we could see another potentially million acres of beans come back to us there. But, yes, we're very concerned about it. But we also -- when you get to dislocations, it provides opportunities.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Well, maybe it's more of a philosophical question. Would you rather have the acreage in corn because that benefits your Corn Processing division or would you rather have acreage in soy so that you can keep your plants at some optimal level of processing?
Craig E. Huss: I think we'd prefer margins.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: However you get them.
Patricia A. Woertz: Yes.
Craig E. Huss: It doesn't matter what we prefer, actually. We just got to deal with what we get. But at this point we have a very big corn number and we'll see -- we're going to see some leakage from that into beans and we'll also see some additional acres come into the beans from double cropping. They won't know that until they get the wheat out of the field.
Operator: Your next question comes from the line of Lindsay Drucker Mann of Goldman Sachs.
Lindsay Drucker Mann - Goldman Sachs Group Inc., Research Division: Just a couple questions on, first, on China. I understand you're not necessarily as close to this market as some of your other businesses. But are you hearing anything related to price controls on vegetable oil or specifically, soybean oil in that market and is that having any bearing on industry dynamics there?
Juan R. Luciano: Yes. We've seen what happened before when there were some price controls. Obviously, crushing margins were reduced. Then crushing margins lately has been expanding on relatively stable soybean prices, and the deliveralization of price controls on oils. Now we hear again about price controls. So we expect that will have an impact in margins, potentially shrinking them again, yes.
Lindsay Drucker Mann - Goldman Sachs Group Inc., Research Division: Are there spillover effects? Obviously, the crushers in China would get hurt, but in terms of just Chinese demand for soybeans and just generally global trade flows, that would also be impacted.
Juan R. Luciano: I think China has always been very hungry for beans and it's also very hungry for corn. I think they're also very strategic buyers. So I think, potentially, it could hurt the demand for beans, yes, if they are not making any money in the crushing until that corrects itself, yes.
Lindsay Drucker Mann - Goldman Sachs Group Inc., Research Division: Okay. And then just to follow-up on Rob's question on ethanol exports. Clearly, the economic incentives are there. So in your opinion, what are the other obstacles to exporting more ethanol?
Juan R. Luciano: Well, I think the big customer in all this is Brazil. And Brazil had adjusted, obviously. They are blending rates back to 20% and now they're thinking whether to do it in 21% or 25%. I think they are dealing with their whole supply-demand issues in the sugar industry. And so I don't know exactly why they haven't opened the doors to really advantages, ethanol imports. But we're working together with our team in Brazil and certainly with -- commercially with Petrobras and all that. So we're making the product available and hopefully that will turn out soon.
Lindsay Drucker Mann - Goldman Sachs Group Inc., Research Division: So you're not optimistic that you could expand ethanol exports to other countries outside of Brazil?
Juan R. Luciano: Well, we've been working. We've been working in Japan and several other countries where we'd send samples and we are approval process Canada, too. So there is, I mean, obviously, with the dollar under gasoline, there is a lot of activity and a lot of interest. It just haven't materialized yet in sales. But certainly our teams are working on that.
Lindsay Drucker Mann - Goldman Sachs Group Inc., Research Division: Okay. Got you. And then lastly, another announcement about some industry consolidation close to your home turf. Do you have any thoughts on whether we're at the front of some sort of broader consolidation activity or if there's any implication from some of the combinations we've seen of late?
Patricia A. Woertz: Well, I think, in general, we could say that the industry is always active. And depending on what part of the region or what part of the world you look at, we're obviously looking ourselves. And things that would make sense for us strategically and meet our hurdle rates, et cetera, we look at. So broadly speaking, I think the world continues to get -- obviously, has a need for our products, needs for more food, more energy and companies look at the opportunities to do that more broadly and on a global scale.
Operator: [Operator Instructions] Your next question comes from the line of John Roberts of Buckingham Research.
John E. Roberts - The Buckingham Research Group Incorporated: I have a question about just whether low grain inventories are good or bad or indifferent for you. So obviously, soybeans benefited, but corn origination in the merchandising segment was hurt by low grain inventories. So I guess can you help us think about that? I guess as long as things are lower somewhere else, that's okay for you like what happened in soybeans. So U.S. is low but Latin America was even lower in terms of inventories?
Patricia A. Woertz: I think there are 2 different things to look at. One, low inventory and what it does to the margin environment. And as we see a dislocation in Argentina, we think it brings value to us. When you bring it back to the states, where we have a great deal of storage, you will look at a different thing, and that is what is -- if we have large crops and big carries, it's a tool. It's a moneymaking tool for us. So we obviously look at, for example, the big corn crop as an opportunity going forward to bring returns. The tight soybeans that we look forward to next year, we hope will bring margins. But again, it takes away from that ability to store. So it's both sides, the margins and then the storage that we have and the ability to get returns from carries in the market.
John E. Roberts - The Buckingham Research Group Incorporated: Okay. Secondly, Ray, the weighted average return on capital continued to drift down. It was actually underneath the cost of capital in the current quarter. With the recent shift to short-term capital spending projects that have quick paybacks, is that -- we're going to start to see that slip here in the next quarter?
Ray G. Young: Yes. I mean I think there's been a lot of focus on our capital returns. I think that when you take a look at our spread over WACC I mean that's -- again, a 4-quarter trailing average number. Again, the reported number, if you recall also includes the restructuring charges. So therefore we look at the adjusted number in order to exclude the restructuring charges. So that's still above WACC. But I agree. We've seen some compression in terms of that particular spread. I think it's fair to say that we've got good capital discipline. I think Juan has talked a lot about that. And we're confident that if we execute the way we want to execute, that will get this spread back up to our long-term target of 200 basis points.
Operator: Your next question comes from the line of Ann Gurkin of Davenport.
Ann H. Gurkin - Davenport & Company, LLC, Research Division: We were positively surprised by your results in oilseeds, crushing and origination. And I'm just curious how that compared versus your internal expectations. And then also are there any other capacity factors coming out of that business?
Juan R. Luciano: Yes, Ann. This is Juan. I will say, probably, March was a little bit better than we expected. By the time we normally go to March, we forecast that there is a shift to South American supply. And probably this year, demand remains stronger for the U.S. As I said, mostly in export, that was the biggest, probably, surprise. And then also, we seen in March the fact that with the real and the dollar relationship, the farmers in Brazil were much more willing sellers. And I think that, that increased obviously grain sales in Brazil. So our origination which is reporting under oilseeds in Brazil had probably had a better March than we were expecting, too.
Ann H. Gurkin - Davenport & Company, LLC, Research Division: Okay. And then anymore capacity coming out that you've heard of in North America, I should say?
Juan R. Luciano: No. Actually, at the moment, everybody's running pretty happy.
Ann H. Gurkin - Davenport & Company, LLC, Research Division: Okay. And then can you just refresh me where you are with global asset review. Are you pretty much done with that intense review or where we are we in that process?
Juan R. Luciano: Yes. We're always reviewing. But I will say the bulk of it, we've done it already.
Operator: Your next question comes from the line of Christine McCracken of Cleveland Research.
Christine McCracken - Cleveland Research Company: Just in terms of your comments on corn supplies possibly affecting ethanol volumes. Have you seen any impact from corn quality issues on overall availability of corn or basis levels in general? Maybe you can comment on the possible impact of that.
Craig E. Huss: Christine, this is Craig. No, I don't think quality has come into the picture yet. There's a dislocation this year that is, as the crop is more in the West and in the Northwest. And we think some of the Eastern plants may have some issues and some of the destination plants could have some issues. But there's a degree of corn ownership, as Juan mentioned earlier, probably 30 days. And from that point, as you read the basis levels are very high. And as we invert these markets, it makes it very difficult. And then when you get any kind of flat price breaks, we see export demand come in, and that tends to give more competition for those Eastern and Central plants, as they draw the same corn that the ethanol plants are trying to purchase.
Christine McCracken - Cleveland Research Company: Okay. That make sense. And then just in terms of soy, if you look at balance sheet there, I suspect that things are going to get awfully tight there. I'm wondering could you see a similar slowdown on the crushing side or is that already baked in?
Craig E. Huss: Well, again, it's what type of ownership we have and the industry owns. And there's some ownership out there, but it's going to be difficult to buy beans going forward. And we will see a reduction in exports as South America will rationalize what they have and we’ll go forward. But we're surprised that we've gone 45 to 60 days further than we thought we would and continue to see demand going forward, as South America will figure they may carry their beans longer and if there's a carry in the market. So it's just an ongoing process and the fact what the margin environment is going forward.
Christine McCracken - Cleveland Research Company: And just tied to that in terms of -- you commented briefly I guess on the oil demand in Europe. As we look at the meal demand in Europe and obviously, things are a little stronger maybe here and in Asia. But in Europe, it seems like with this animal -- shift in animal health policies and a move way from crates, you could see a pretty significant reduction in overall animal numbers there. I'm just curious if you expect that to shift either export demand into Europe or their European crushing in general?
Juan R. Luciano: No, Christina...
Christine McCracken - Cleveland Research Company: This the ban on the crates and the pretty significant shift in hog numbers that we're seeing.
Juan R. Luciano: Yes. But we haven't seen that yet. But yes, it's something that we are analyzing as a potential scenario that can impact us, but we haven't seen it yet.
Operator: [Operator Instructions] Your next question comes from the line of Ian Horowitz of Topeka Capital Markets.
Ian Horowitz - Topeka Capital Markets Inc., Research Division: Quick question. You guys mentioned strength in North American meal demand. I'm not sure how much it could be, but can you comment, what do you think the demand increase was attributable to the DDG declines due to reduced crush?
Juan R. Luciano: I think, Ian, for us, domestic meal demand basically increases as higher corn prices supported meal inclusion in the formulation. So part is DDGs are obviously not growing anymore from year to year, so they are flat. But also when corn rally, I mean, all these meals make it into the rations. So we saw little bit of that combination. Remember, we have a team here that looks at feed from all the different angles. So we constantly are looking at what is the best thing to position based on our margins and our availability.
Ian Horowitz - Topeka Capital Markets Inc., Research Division: Okay. And I know it's a little early in the year and we're all trying to look out a little bit, but can you talk a little bit about your thoughts on 2013 with ethanol policy? It seems like with current gasoline demand, and who knows where it's going to be in 2013, and an E10 -- overall, an E10 kind of market, I know that there's a potential for some marginally 15. How do you achieve the 13.8 billion gallons of consumption for obligated parties?
Juan R. Luciano: Well, obviously, I mean this is a combination, Ian, of factors. Difficult to know where the driving months are going to be. But if we look at the forecast, they are stable or declining. So we're working hard on both things and E15 implementation and certainly developing export markets that I explained before. That's why our commercial team is working. The mandate is obviously expanding to 13.8. So on capacity, when everything runs, is something we've proven it's like 14.7. So what we need to get is that extra billion gallon, if you will, of exports or E15 combination. And then that's probably going to do it for us.
Ian Horowitz - Topeka Capital Markets Inc., Research Division: But that's in terms of capacity utilization. But in terms of meeting the -- it seems like meeting the RFS obligation could pose quite a challenge for domestic-obligated parties. Do you seem to disagree, Juan?
Juan R. Luciano: Say it again?
Ian Horowitz - Topeka Capital Markets Inc., Research Division: I mean, I understand exports will help in the utilization rates of the plants, but in terms of actually meeting domestic obligations for the RFS...
Juan R. Luciano: You're talking about the blend grow basically.
Ian Horowitz - Topeka Capital Markets Inc., Research Division: Correct.
Juan R. Luciano: And that's what we said, Ian, we need both the export and E15 to get there.
Ian Horowitz - Topeka Capital Markets Inc., Research Division: But exports don't allow you to satisfy internal domestic...
Juan R. Luciano: I'm just saying for us to get to profitability, we need E15 to clear the blend wall or we need bigger exports so we can run at capacity, yes.
Christine McCracken - Cleveland Research Company: And Juan, would you expect to see E15 at a measurable volume by 2013?
Juan R. Luciano: Yes. We think so. We think this year will be, as I said, not very relevant. It will be an introduction. But I think by next year, yes. If this benefit continues to be there, I think we will see an accelerated implementation. It will make sense.
Operator: There are no further questions at this time. I will now turn the conference over to Pat Woertz for closing remarks.
Patricia A. Woertz: Excellent. Well, thank you for joining us today. As always, feel free to follow-up with Ruth Ann if you have any other questions. We do have a list on Slide 16 of our upcoming webcast events. May 15, the BMO 2010 Farm to Market Conference, and June 15, the Paris Deutsche Bank Global Consumer Conference. Thanks very much for your time and interest, and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect. Good day.